Executives:  Denita C. Stann – Vice President, Investor and Public Relations William J. Doyle – President and Chief Executive Officer G. David Delaney – Executive Vice President and Chief Operating Officer Wayne R. Brownlee – Executive Vice President and Chief Financial Officer Stephen F. Dowdle – President, PCS Sales 
Analysts:  Mark W. Connelly – CLSA Americas LLC Jeffrey Zekauskas – JPMorgan Securities LLC Michael Piken – Cleveland Research Company Vincent Andrews – Morgan Stanley & Co. LLC Don D. Carson – Susquehanna Financial Group LLLP Adam Samuelson – Goldman Sachs & Co. P.J. Juvekar – Citigroup Global Markets Inc. Jacob Bout – CIBC World Markets, Inc. Joel D. Jackson – BMO Capital Markets Christopher S. Parkinson – Credit Suisse Securities LLC Kevin McCarthy – Bank of America Merrill Lynch Global Research Yonah Weisz – HSBC Bank Plc Tim J. Tiberio – Miller Tabak + Co. LLC Mark R. Gulley – BGC Financial LP Matthew James Korn – Barclays Capital, Inc. Charles Neivert – Cowen & Co. LLC  
Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the PotashCorp Fourth Quarter Earnings Conference Call. At this time, all call-in participants are in a listen only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) Once again, webcast participants are encouraged to submit a question to management from the webcast window. You can simply type in your question and send it. These instructions will be repeated prior to the question-and-answer session. (Operator Instructions) I would like to remind everyone that this conference is being recorded on Thursday, January 30, at 1 PM Eastern. I would now like to turn the conference over to Denita Stann, Vice President, Investor and Public Relations. Please go ahead.
Denita C. Stann: Thank you, Brock. Good afternoon, everyone, and thank you for joining us. Welcome to our fourth quarter and year-end earnings call. In the room with us today, we have Bill Doyle, our President and CEO; Wayne Brownlee, our Executive Vice President and Chief Financial Officer; David Delaney, Executive Vice President and Chief Operating Officer; Joe Podwika, Senior Vice President and General Counsel; Mike Hogan, President of PCS Potash; and Stephen Dowdle, President of PCS Sales. I’d like to welcome the media who are listening in and remind people that we are live on our website. I would also like to remind everyone that today’s call may include forward-looking statements. These statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of these statements and actual results could differ materially. For additional information with respect to forward-looking statements, factors and assumptions, we direct you to our news release and our most recent Form 10-K. Also, today’s news release, which is posted on our website, includes a reconciliation of certain non-IFRS financial measures to their most directly comparable IFRS measures. I’ll now turn the call over to Bill Doyle for some comments and then we’ll go into questions.
William J. Doyle:  All right. Thank you, Denita, and good afternoon, everyone, and thank you for joining our discussion of PotashCorp’s fourth quarter performance and our outlook for 2014. It was a challenging quarter. Pricing headwinds, most notably in potash persisted as global markets struggled to find stability. With lower contributions from all three nutrients, our earnings fell to $0.26 per share for the fourth quarter and $2.04 per share for the full year, both well below the same periods in 2012. Beyond the difficult market conditions that weighed on our performance, our results for the quarter also reflect a charge of approximately $0.05 per share related to the operational and workforce changes we announced in December. Although, we witnessed potash demand begin to return in certain regions, most notably in North America, where fall application was underway, limited buyer engagement in contract markets kept offshore shipments at muted levels. In this environment, prices eroded and put pressure on our gross margin for both the quarter and the full year. The value of our additional nitrogen capacity and product diversification partially offset the impact of lower prices. Restarting ammonia capacity at our Geismar facility resulted in additional production, which not only lowered our per tonne production cost, but also allowed our full year sales volumes to increase nearly 20% from 2012 levels. Our diversity in phosphate helped to provide some relief from difficult fertilizer markets. Contributions from our feed and industrial businesses accounted for the majority of our gross margin for both the quarter and the full year. Although, we faced challenges during the year that impacted our earnings, we achieved milestones in other areas. Cash flow from operating activities reached $3.2 billion and came close to record levels. More importantly, we deployed it in areas designed to enhance long-term returns for our shareholders. We increased our dividend twice this past year, providing investors with one of the highest yielding stocks in the fertilizer space. We continued to execute our announced share repurchase program with approximately one-third of the total authorization complete by the end of 2013. We made great strides in safety, as our people achieved a record low recordable injury rate for our company in 2013. I am proud of our efforts in this area and it’s exciting to see every employee committed to making PotashCorp one of the safest resource companies in the world. Our Rocanville and New Brunswick potash expansion projects, which will play an important role in further enhancing our competitive position, are nearing completion. At the end of 2013, we had approximately 93% of the anticipated capital spending behind us. Also the expansion of ammonia and urea capacity at our Lima facility remains on track to provide additional margin in 2015. These achievements provide a solid foundation for the company to deliver better performance as we move forward. As we enter the new year, we see a landscape that underpins growth in global fertilizer consumption. Despite a more tempered outlook for crop commodities, the drivers of demand for our products go beyond the highs and lows of grain prices. Farmer economics remain supportive and the basics of crop nutrition create an ongoing need to replace nutrients in farmers’ soils. In Potash, we believe this environment is helping lift the clouds of uncertainty impacting global markets. As farmers around the globe look ahead to the upcoming growing season, purchasing activity is strengthened. With all key markets engaged, including recently signed contracts with China for the first half, we believe that the conditions in place today could support record or near record global shipments of 55 million to 57 million tonnes in 2014. We anticipate especially robust first half shipments and we are already seeing this unfold with Canpotex and PotashCorp's volume commitments. Even with increased demand in our sites through the first part of the year, the consistency of engagement by key contract markets in the second half will play a pivotal role in determining the extent of the global demand recovery. One of the biggest contributing factors will be achieving underlying consumption growth in markets like China and India. While each country has immense potential, they also have unique challenges. In China, potash consumption has increased in recent years albeit not at the same pace that previously characterized this market. In this demand growth environment, incremental domestic capacity gains have largely kept pace with this rising needs. Longer-term, we are confident that significant agronomic need coupled with the belief that China’s future domestic production capability growth is relatively limited, will drive increased import requirements. We believe this scenario could begin to play out in 2014 given improved economic motivators and an inventory drawdown through the second half of 2013. We are taking a conservative approach to predicting a rebound in Indian demand, although we believe import needs will rise giving India’s lower estimated inventory position entering the year, a more meaningful and sustained increase will require a commitment to prioritizing agronomic needs ahead of politics. In Latin America and other Asian countries, customers are actively pursuing new supply as they respond to the needs of their growers. The agronomic need in these regions given their deficient soils and potassium intensive crops is substantial and these growers understand the value of potassium fertilizer in enhancing their returns. We expect solid demand in these markets and forecast shipments to exceed those of the previous year. In North America, momentum from the fourth quarter is expected to carry into 2014. We have a healthy order book in place entering the spring season, and with a still cautious inventory management approach by customers, we expect additional product needs to emerge as the season unfolds. Delivery against existing commitments is already occurring and we anticipate shipments through the first half of 2014 will outpace those during the same period last year. Given the anticipated improvement in global potash demand, we expect our 2014 sales items would be in the range 8.2 million to 8.6 million tonnes. While this total reflection increased relative to last year, the benefit of a stronger global market is partially offset by reduced sales from our New Brunswick facility and a slightly lower Canpotex allocation during the first half of 2014 as compared to where we ended the past year. Most investors know this volume growth is essential for the long-term health of the potash market and the growth of our company. Yet, as we have often said, the importance of price cannot be understated. The second half of 2013 was challenging in that regard. Importantly, however, we believe the market is now finding its foot. With improved demand and higher operating rates expected in 2014, we see a more stable global potash market. While these are optimistic signs and could provide momentum for our earnings as the year progresses, the full impact of the significant price erosion in 2013 will have a lingering effect on our realizations and results through the first part of 2014. Given this environment, we have undertaken initiatives to enhance our margins. By optimizing production at our lowest cost facilities, we anticipate that our per tonne cash production cost will be $15 to $20 per tonne below those in 2013 and provide some offset to weaker price realizations. In nitrogen and phosphate, recent pricing strength improved the near-term outlook for these two businesses, although we believe markets are likely to display typical seasonal changes as the year progresses. We see gross margin contributions in each nutrient below 2013 levels, but expect to benefit from increased nitrogen sales volumes and improve per tonne production cost, most notably in our phosphate segment. Considering these factors and conditions, we forecast first quarter 2014 net income per share of $0.30 to $0.35 and full year earnings of $1.40 to $1.80 per share. Those who have heard me speak about our industry and our company, will tell you that I have an unwavering confidence in the agriculture advancement and the role of crop nutrients in helping feed a growing population. My optimism is found in the growth I’ve witnessed during my 40 years in this business. Even with a very positive long-term outlook for our company we need to manage with both the focus and future opportunities and a keen awareness of the current environment and as no surprise that this environment has brought some challenges. One of those has been a slower Potash demand environment than we anticipated in recent years that meant expanding our operational capabilities we’re set to outpace demand in the near-term so it was something we needed to address in December. Now our Potash Operations and staffing levels are better aligned with the current market realities and we have enhanced our position as a low cost delivered supplier. The steps we took to reduce our near-term operational capability also have added benefit of helping better balance global supply with demand, which should contribute to a less volatile environment. Some may look at the decline in Potash prices or our earnings forecast in question whether PotashCorp’s best day is still lie ahead, admittedly the starting point from which we believe recovery begins is disappoint, however, we are confident that as global Potash markets find a stability we will see our earnings growth potential. As we have in the past, our focus as a board and a management team is to build a successful company for the long-term. We are proud of the company we have built and with every decision we strive to create lasting value for those that matter most, our shareholders, our customers, our employees and the communities in which we live and work. Thank you for your interest in Potash Corporation, I’m joined today by members of our senior management team and we’ll be happy to answer your questions.
Operator: Thank you ladies and gentlemen we will now conduct the question-and-answer session. (Operator Instructions) The first question today comes from Mark Connelly of the CLSA Please go ahead.
Mark W. Connelly – CLSA Americas LLC: Thank you. Bill as you think past the near-term impact and think about the maybe the medium term outlook with the changing competition in Russia and your capacity changes. Do you think we’re headed for a different mix of business in that your shipping channel is going to head more south and less west?
William J. Doyle: You know Mark I don’t think so, I think that we will see – I talked about China, if you think about it, China has been growing, but the growth has been taken by domestic production and we think that domestic production is just about tapped down in terms of it’s ability to grow and our own context there in China say that long-term China is going to be 75% dependant on imports and I think that bodes well for our future. India where we are not so optimistic about India in the sort term, but in the medium term India is go to have to address their agronomic problems, the soil nutrient depletion is, it really in crisis stage and we get that feedback from our customers there. So we think India – next two to three years, India is going to rebound, and you are going to see India backup above the levels it was before, back up above 6 million tonne level, they just have a crying need to address the soil fertility imbalances. So I don’t see that really a change in the direction of our exports and we’re well positioned to take advantage echoes, the growth would come, this is a notoriously hard business to forecast. And I can tell you its very clear we miss it on the downside. And I can tell you we also miss it on the upside, when it turns and we’ve had an unprecedented period of flat to down year since the great recession. Some of the other problems – some of the problems self inflected that have created uncertainty. But I think you are seeing now that 2014, this reengagement that we are seeing, it’s the beginning of a recovery; fortunately I think we have price from which we can recover. Sorry as the situation wasn’t unnecessary as it was, the decline that we saw in the second half of last year, we still have a reasonable price from which to recover. The fact that we didn’t go out and I had a lot of encouragement from people you know go out and match that volume over price strategy that way just its so foolish, and I think the fact that we were able to take care of our customers and have a price from which we can recover now we’ll look back in time and see that that was right decision.
Operator: The next question comes from Jeff Zekauskas of J.P. Morgan. Please go ahead.
Jeffrey Zekauskas – JPMorgan Securities LLC: Hi good afternoon. I guess I have a couple of questions on your financials, I think you’ve bought back $445 million worth of stock from your $2 billion share repurchase authorization, I was wondering whether you thought you would complete it by the end of the term, which I think is in August. And then secondly your cash flows really have been wonderful and in part that’s been supported by $400 million in deferred tax benefit. Is that something that will continue in 2014?
William J. Doyle: Jeff, I’m going to have Wayne R. Brownlee speak to that.
Wayne R. Brownlee: Hi, Jeff the...
Jeffrey Zekauskas – JPMorgan Securities LLC: Hi
Wayne R. Brownlee: The service [ph] program, our intent is to pick up our purchasing in the remaining two months of this quarter, and I think that it’s fair to say that we were a bit cautious at the beginning because were waiting to see where the market was going go. And we are now in view of that the market has pretty much found the bottom and on the upswing, it’s just a relative question about the slope of the line, but we think we are on pretty good shape there. So our current intention with our current outlook is to continue with that program, and complete it as we indicated. And I’m sorry, could you repeat the second question.
Jeffrey Zekauskas – JPMorgan Securities LLC: Cash flow
William J. Doyle: Cash flow and deferred tax.
Wayne R. Brownlee: There will be a continuation of the deferred tax provision, because the CapEx we are able to accelerate that depreciation for income tax purposes, so you can have continued strong differed tax and provision to this year and it will support cash flows at a pretty high level for 2014.
William J. Doyle: You know Jeff just to add in terms of the share repurchases, I think share repurchases money, best uses of capital that we can find, I sincerely believe that our shares are extraordinarily cheap and it’s a great capital allocations, so it has our full support, obviously we are going to see how this years goes, you monitor it, but we intend to push ahead a year with purchases as soon as we can.
Operator: The next question comes from Michael Piken of Cleveland Research Company. Please go ahead.
Michael Piken – Cleveland Research Company: Yes, good morning. Just wanted to touch base a little bit on your thought here with respect to India and I know you alluded to in your prepared remarks, but do you think the situation is any marketably different in Phosphates and Potash and then secondly once their elections are complete, how long do you think it will take before they kind of take a more agronomic approach toward their crop nutrient decisions? Thanks.
William J. Doyle: Hi, Mike I’m going to ask Steven Dowdle to respond to that.
Stephen F. Dowdle: The situation in India both the Potash and the Potash sectors are – had been severely impacted by the subsidy issue, the Indian government has chosen to subsidies urea and has reduced the subsidies significantly on both Phosphate and Potash. So in that sense they both have been equally affected by the subsidy situation. The Phosphate sector is a little bit different, because India has a domestic Phosphate sector that the government is interested and the industry is interested to somehow support and protect. So that gives a little different nuance as to how that the two nutrient sectors are impacted. As far as the future and going forward is concern, as Bill referenced in his remarks, this situation is widely understood not to be sustainable in India, it’s understood by the fertilizer industry themselves, it’s understood by the agronomists, the scientist, its understood and these people have been lobbying the government and pleading with them to correct the situation, because it’s truly damaging the soils and its impacting the crops in particularly some of the higher value crops. So there is definitely an opportunity with the new government to come into place and so far this – if there is expected change in party government it’s a much more a pro business type of an approach and certainly agriculture has already been – agricultural policy and agricultures is in the headlights here. So we would expect if there is a change in government that agriculture policy will certainly be impacted.
Operator:  The next question comes from Vincent Andrews of Morgan Stanley. Please go ahead.
Vincent Andrews – Morgan Stanley & Co. LLC: Thank you. Bill you just made some strong comments about the imports of share repurchases and you didn’t mention the dividend, so I’m just wondering if – in the past you said the dividend sacrosanct of if you are thinking a little differently about how you guys want to use your cash flow given the outlook and given where your stock is and just how should we be thinking about the use of cash going forward?
William J. Doyle:  Well, we think the dividend is very important as well and we may tweak the dividend at some point down the road. We haven’t changed our view on that. We said that we were going to give more cash back to our shareholders and a add player in the fertilizer space and we intend to do that.
Operator: The next question is from Don Carson of Susquehanna Financial. Please go ahead.
Don D. Carson – Susquehanna Financial Group LLLP:  It’s a question on the provisional resource tax. You’ve had a nice holiday with your expansionary CapEx, you’re guiding to a higher provisional resource tax, I think 16% to 18% versus 12% next year. How does that go on in future years and is this something that you want to have discussions with the provisional government about perhaps lowering given the much lower price environment that we have now, and if so, do you think they’d be a minimal to any negotiations there?
William J. Doyle: All right, Don, I’ll have Wayne to respond to that.
Wayne R. Brownlee: On the three key variables in the resource taxes are our capital spending, which is still going to be in excess of $400 million in Saskatchewan in 2014. So it’s still a significant amount. The other significant factors are the number of volume, the sales volume that we have and obviously the more volume that we sell, the reduced amount of sales are actually tax, and the other issue is the price and the higher the price, potash then of course, there is a higher margin per tonne on the tonnes that are taxed And that will increase our tax liability. So you need to come to terms with your forecast, but I would suggest that overtime we would expect an increase in volume, and it will begin to outweigh the reduced capital expense deduction and so I don’t foresee the resource taxes going up substantially. In fact, they’re probably flat to down all the time depending on your volume forecast and on that basis, I wouldn’t see any basis to renegotiate these taxes at all and I would be doubtful that the Government of Saskatchewan at this state would entertain any event.
Operator: The next question comes from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam Samuelson – Goldman Sachs & Co.: Hi. Thanks. Good afternoon. Bill, can you just reflect a little bit on the capacity expansion program that you’ve nearly completed and the fact that you just decided to idle 3.5 million tonnes of capacity. With that much capacity idled, I mean, when do you think the company will actually be able to utilize over 90% of the total nameplate operational capability that you’ve built and what do you think the implication of that is for medium-term potash prices and how long it might take to get back to some level of inducement pricing to incentivize new construction?
William J. Doyle: Okay. So a lot of subjects to cover, but what I would say is that if you think back when we started this program in 2003 and we are now in the 11th year, 93% complete. With the duration of any of these prices singled, our projects themselves are from four to seven years in the length and to forecast exactly meeting up with demand with – 2003, we didn’t forecast the great recession and we didn’t forecast any market upheaval that we’ve seen recently in second half of 2013, but directionally, I think we’re correct and I also can tell you that the expansions that we undertook half of those were done when you could get fixed cost contracts. So we actually have improved our competitive cost position you can see that now in what we do operate. And I think it’s important to have the production matched so that we’re not carrying, we’re not carrying these operations when we know that we most likely won’t need them over the next say two years. But I think you’re going to see and of course if the market response quicker than, of course we can respond as well. So I mean they’re not these are ideal, they are in care of maintenance, we could come back quicker, we need to, but this is what we see is when you take this year, we’re saying $8.2 million to $8.6 million, we’re going to be able to produce $9, $15 to $20 a tonne cheaper from a cost point of view. And we’ve also got a $1 million tonnes of inventory. So we’re more than cover, we think we see market scenario out there was tightened up the global capacity utilization. We try to look at factors that we can control, lot of peoples talk about lot of other things, but it’s what we can control and what we can do and we try to be a responsible player and look after our company and the best interest of the company. And I think that you’re going to see us let it be using the expansion capability that we had in the next five year period, three to five years out you’re going to see us utilizing that. And in the meantime we become much more productive in terms of our cost position. And I think we’ve got ourselves ready to go and take advantage of any future opportunity which we know that growth is going to return to the market. I may not have answered all your questions, but I’m sorry, but I can only take so many at a time.
Operator: 
 :
P.J. Juvekar – Citigroup Global Markets Inc.:  Yes, sorry about that. So Bill do you have a view on this University of Illinois study that argues for less part I should say is by growers, have you look at your assumptions and the science behind that, any view you have on that? 
William J. Doyle:  Yes, P.J. I did we looked at that very closely and immediately after that came out, the scientific community was up in arms and they were same University is other colleagues in the department came out and said that it was all wet. I was stayed is just come out recently with recommendation of the increased application. So farmers are not fool, there is a reason why people buy this material and they know the potassium is essential to proper soil fertility and that really didn’t have much there.
Operator:  The next question comes from Jacob Bout of CIBC. Please go ahead.
Jacob Bout – CIBC World Markets, Inc.:  Hi, good afternoon question on your Potash sales volume guidance, it was at the 8.2 to 8.6 little lower than I think it’s roughly $1 million to $2 million lower than which you hinted at the end of 2013. So I guess my questions are – what changed in the past couple of months and the second part of that would be what you have baked in there for India and Chinese demand, what we have to look for an increase there?
Wayne R. Brownlee:  Yes, Jacob I’m not sure that I’m following you, because we didn’t come out with a hint that we were going to be up, I think you said, did you say a million tonnes. I don’t think that, that was the case, but if you think about 8.1 million tonnes 2013, and then we’re saying 8.2 million to 8.6 million tonnes for 2014, keep in mind the New Brunswick transition, where we shutdown Penobsquis, we moved to Picadilly, that has a little bit of an impact there and then the changing Canpotex allocation, Mosaic had a run at Esterhazy, so they increased in the first half, we’re going to have a run here at Allan and will most likely increase in the second half, so all those factors come into play.
Operator: The next question comes from Joel Jackson of BMO Capital Markets. Please go ahead.
Joel D. Jackson – BMO Capital Markets: Hi, thanks. Canpotex and Arab Potash signed MOUs in China below the sort of MOU volume that were first signed at. last year, Canpotex got their MOU volumes in the first half of the year, Arab Potash didn’t. So my question really is if Canpotex is going to get the 300,000 tonnes in China in the second half of the year and do these MOUs make any sense going forward? Thanks.
William J. Doyle: The answer to your question is yes. Canpotex have got its 4 million tonne MOU commitment and this is one-year MOU and it’s going to be based on performance. So we’ll see how that – how good that performance is going forward.
Operator: The next question comes from Christopher Parkinson of Credit Suisse. Please go ahead.
Christopher S. Parkinson – Credit Suisse Securities LLC: Good afternoon. You mentioned that you expect some reduced natural gas curtailments at your Trinidad operations in 2014. Can you just give us a little more color on the timeline, given what happened in 2013 and then also offer a few comments on the – your estimated effects on lower Tampa ammonia prices on your index to natural gas prices in the region?
William J. Doyle: All right. Chris, I’m going to ask David Delaney to comment on Trinidad.
G. David Delaney: Christopher, we were down in Trinidad. Two weeks ago, we met with the Energy Minister in the head of two of the oil and gas producers, all confirmed better production in 2014 from 3.9 to 4.1 Bcf a day. All of the major maintenance work is complete, but we’ll continue to see some minor interruptions with rig moves due to the development activity. In 2013, we’ve lost about 220,000 tonnes of ammonia. This year, we’re anticipating about a 70,000 to 80,000 tonne drop and with the ammonia index to Tampa, our gas prices have dropped accordingly.
Operator:  The next question comes from Kevin McCarthy of Bank of America. Please go ahead.
Kevin McCarthy – Bank of America Merrill Lynch Global Research: Yes, good afternoon. Two questions if I may, one on financial flexibility and one on nitrogen. On the first, Bill, would you comment on your four principal equity investments and whether if we look out a couple of years, the aggregate level of that investment is more likely to increase, decrease or stay about the same? And then nitrogen, I just wonder if you could offer us an update on the timing and magnitude of your ammonia and urea expansion opportunities in Ohio and perhaps elsewhere and any permit status? Thanks.
William J. Doyle: All right, I‘m going to have David to answer the second part of the question, but I’ll handle the – try to handle the – we look at our equity investments, looking out, we think that – we know that those are the second best potash assets in the world and we expect them to be significantly higher than where they are today. David?
G. David Delaney: Yes, our Lima expansion will be completed in 2015. We’re adding a 110,000 tonnes of ammonia, 88,000 tonnes of urea synthesis, the ammonia the primary outlet for that will be our Aurora, North Carolina DAP plant. As you know our guys from our plant restarted last year, we were very successful in starting that and we’ll have a full year of running there, our debottleneck at Augusta is also complete much better production from that site in 2013 and going into 2014. And we are looking at potential of further Brownfield expansion at Geismar, there is maybe one more tweak that we can do at that site and we are studying that right now.
Operator: The next question comes from Yonah Weisz of HSBC. Pleased go ahead.
Yonah Weisz – HSBC Bank Plc: Yes, hi good afternoon. I just want to ask a question on your pricing assumptions in the Potash gross margin. If you look at your volume range and maybe assume $120 cost per tonne all in, now your overall received price ranges and book-ins from $240 to $270 per tonne in 2014 according to the ranges you presented. Even at the fourth quarter overall price was $280, I can understand maybe a drop of $10, $20, but could you talk a bit about what could bring it down to $240 received price all of it being – bring it down to the lower end of your range. And perhaps contract on the other hand with attempts reported both by Canpotex and annual accounting to raise prices in spot markets, let say last time for example in a couple of months ahead of us.
William J. Doyle: All right, Yonah I’m going to ask Stephen Dowdle to respond.
Stephen F. Dowdle: As we look at prices in 2014, we are starting the year in the first quarter living with the effects of price declines that occurred during the second half of 2013, these prices had come down particularly in the spot markets at a much faster rate than we had anticipated and we are still living with some of those prices. As we go through the quarter and certainly as we go through the first half we will realize higher netbacks as prices in every single spot offshore market have rebounded off the walls that we saw in the second half of 2013. So I think that really represents the bottom part of our range on prices, as far as where price may go during the year, of course that’s going to be determined by the market as we progress.
William J. Doyle: Yes, Yonah, what I would add to that is again we deal with what we know, there are various rumors out, we don’t know, we watch what people do, we don’t listen to what they say and the market is going to as Stephen said quite readily its going to determine where that price ends up and we deal with what we know today and basically that’s our approach if it changes down the road that will change our look as well.
Operator: The next question comes from Tim Tiberio of Miller Tabak. Please go ahead.
Tim J. Tiberio – Miller Tabak + Co. LLC: Good afternoon and thanks for taking my question. Question is around the fact that your global Potash shipment forecast is slightly lower than one of your global peers. Do you think they will potentially revisit that going forward or is there the risk that they will be shooting for a higher production level and where do you think that delta is primarily focused. Is it on South America or the potential in the Asian region?
William J. Doyle:  Tim, I have no idea on what their approach is or their analysis is and I know what ours is. And so that’s the number that we gave you. and again, I don’t know what their focus is going to be, whether it’s volume or project, this can have both, you got to make a decision. We know that from years and years have been a business. But in terms of forecasting the volume for the global marketplace this year, we’ve given the odd number and that’s our best analysis on what’s going to come.
Operator: The next question comes from Mark Gulley of BGC Financial. Please go ahead.
Mark R. Gulley – BGC Financial LP: Hey, Bill, a question on the two contracts with China. Last year, both entities, I realize the entities are a little bit different, agreed to sell 1 million tonnes to China in the first half of 2013, this year each entity, 0.7 million tonne. how should we think about the fact that those volumes in the first half are so much lower on this go around versus last go around?
William J. Doyle: I’ll let Steve and Mark to respond to that. Stephen?
Stephen F. Dowdle: Yes, if we look at this year and of course, China is always a hot topic, because the size of the market and also the potential of the market. and we’re off to a really – I think off to a real terrific start in China, as we start 2014. As we finished the year, second half of last year was disappointing, a lot of the markets, a lot of our customers stood back as there was a little bit chaotic market conditions. Things as we start the year and the inventories were drawn down and we knew that going into this year of 2014 that it was going to be important for China to settle early. if we could expect and experience that some growth in consumption, had those first half contract negotiations gotten strung-out over several months that, that would have, I think put a lot of pressure on seeing some growth going into the second half of the year. We are off to a great start to get these early settlements that product is going to be in place. It will be consumed; it’s going to be there to hit the season. And that’s a very, very positive development. another positive development in China, we know there has been a new government, new leaders there. and it’s always been interesting to watch what the first central party document is. The number one central document, which is the party policy that document that’s issued in the first one of the calendar year, and this one that was just issued a week ago last Sunday, reiterated the importance of improving, food security in China. and even by China’s own data, China is the home to the second largest population of undernourished people in the world; 160 million are about 11% of the country’s population. So the fact that this early document of this government is placing such a priority on achieving a balance between grain self-sufficiency and food security for their population. I think it is a real important indicator that they are going to pay attention to improving the scientific application of fertilizer and technology to improve the yields and to improve their grain production.
Operator: The next question comes from Matthew Korn of Barclays. Please go ahead.
Matthew James Korn – Barclays Capital, Inc.: Hi, good afternoon, everybody. A question, I’m looking across your regional guidance for potash. you’ve got North America up relative to the first half of last year. but everywhere else China is flat, India no growth – maybe ex-subsidy, Brazil and Other Asia kind of flat to slightly up. And make sure that what kind of additional efforts could PotashCorp do maybe even with the Canpotex partners or other producers to kind of more actively encourage demand growth on the ground in those places. could you finance pests and better publicize the yield gains. could you directly subsidize the equipment, partner with universities, I don’t know, because I thought it was interesting you talk about how demand growth is going to depend on buyer engagement and commitment. and I wonder what PotashCorp could do to be more active in making that actually happen?
William J. Doyle: Well, actually, Matthew, you’re going to be pleased to know that we’re already doing that. and so we are involved as you know with the International Plant Nutrition Institute. Their budget is $10 million a year. They’re out promoting fertilizer, sound agronomic practices, India, China, Brazil, Malaysia, Indonesia, every major market. In addition, Canpotex also has its own market development program, which has been in existence since 1983 where we spent every year by developing agriculture this year for example, one of our focuses is going to be on palm oil in Southeast Asia in terms of developing better yield potential. The other thing, PotashCorp you should know, I mean you might have heard this, there is a global institute for food security, which is at the University of Saskatchewan, which Potash Corporation is a major partner. $35 million over five years, we’re giving to that organization, it’s totally dedicated to improving agronomic yields, food security around the world. So this is a passion for us, Matthew and you don’t need to worry that we’re not focused on it and any chance that we have to further move in this arena we’ll do so.
Denita C. Stann: And we’ll have time just for one more question, Brock. Thanks.
Operator:  Thank you. The last question today comes from Charles Neivert of Cowen & Company. Please go ahead.
Charles Neivert – Cowen & Co. LLC: Good afternoon, guys. Just one quick question, last year, India, I guess delayed some of its shipments beyond the end of its contract. So they’ll complete the contract. How does that look this year, I mean how much did they really have left? I guess their contract ends in March, to complete the contract and then looking at it now, does it look like they’ll complete by March or will that extend out into the second quarter?
William J. Doyle: All right. Charles, I’m going to have Stephen Dowdle to respond to that.
Stephen F. Dowdle: Yes. it’s – I could speak for Canpotex, they have their contracts were approximately 1.2 million tonnes. They’ve shipped – they have about 300,000 tonnes. As of December 31, they had about 350,000 tonnes left to ship in India. As far as the other suppliers, it varies from supplier-to-supplier, but it’s probably not too far out of line on a percentage basis with that.
 :
Denita C. Stann: Thank you everyone. If you have further questions today, please don’t hesitate to give us a call at the office. Have a great day.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.